Operator: Good morning, and welcome to the Beazer Homes earnings conference call for the quarter and fiscal year ended September 30, 2014. Today's call is being recorded and a replay will be available on the company's website later today. In addition, PowerPoint slides intended to accompany this call are available in the Investor Relations section of the company's website at www.beazer.com. At this point, I will turn the call over to Carey Phelps, Director of Investor Relations.
Carey Phelps: Thank you. Good morning, and welcome to the Beazer Homes conference call discussing our results for the fourth quarter and full year fiscal 2014. Before we begin, you should be aware that during this call, we will be making forward-looking statements. Such statements involve known and unknown risks, uncertainties and other factors, which are described in our SEC filings including our Form 10-K, which may cause actual results to differ materially. Any forward-looking statements speaks only as of the date on which such statement is made. And except as required by law, we do not undertake any obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. New factors emerge from time-to-time, and it is not possible for management to predict all such factors. Joining me today are Allan Merrill, our President and Chief Executive Officer; and Bob Salomon, our Executive Vice President and Chief Financial Officer. Allan will start things off by discussing progress made on our 2B-10 Plan and summarize our full year results. Then Bob will provide a more detailed look before turning the call back over to Allan for our updated 2B-10 target and our current outlook for fiscal '15. Following their prepared remarks, we will take questions in the time remaining. I will now turn the call over to Allan.
Allan P. Merrill: Thank you, Carey, and thank you for joining us. We were extremely happy to report positive net income for fiscal 2014. This is the first time we've reported a profitable year since 2006 and is obviously a very important milestone for the company, our employees and our shareholders. Speaking of milestones, earlier this week, we announced the transition of our board's chairmanship. I would like to acknowledge and thank Brian Beazer for his leadership and counsel and congratulate Steve Zelnak on his new role. I look forward to working with both gentlemen for many years to come. Before we jump into a detailed discussion of 2B-10 progress and the results for the year, I'd like to set the context for our performance this year. Despite favorable demographics and excellent affordability, demand for new homes has been uneven, and over the course of the year, somewhat disappointing. Every notable third-party estimate for 2014 single-family starts has been adjusted downward since this time last year, many of them more than once. On the other hand, home prices, at least the way they are most visibly measured, moved up more than we expected. Both of those themes are reflected in our results for the quarter and the year. Returning to profitability has been our #1 priority for several years. When we introduced our path-to-profitability plan 3 years ago, we acknowledged that we needed to improve several key operating metrics. Since that time, we improved absorptions from 1.8 sales per community per month to 2.8 this year, increased gross margins by 470 basis points and reduced SG&A by 960 basis points. That represents an awful lot of progress over 3 years. The board and I are proud of our team's focus and determination to turn this company into a stronger operator. To be a great company, we know we have a lot of work left to do. But we think generating a profit in 2014 on lower home closings demonstrates the changes we have made to the business are working and that we have built a foundation to deliver greater profitability in the years ahead. A year ago, we introduced our 2B-10 Plan to reach $2 billion in revenue with a 10% EBITDA margin within the next several years. At that time, we identified the key metrics that we would use to track our progress towards reaching those objectives, including sales per community per month, ASP and community count, which would drive our revenue growth, and gross margin and the SG&A ratio, which would drive our EBITDA growth. So it's fair to ask how much progress did we make during year 1 of this multiyear plan? Actually, quite a bit. We introduced our 2B-10 Plan last November as we were reporting our fiscal 2013 results. The math showed that we had a gap of $712 million in revenue to reach $2 billion and 3.3 points in EBITDA margin to reach 10%. In dollar terms, we had a gap of about $114 million of EBITDA. Just 1 year later, we closed 25% of the revenue gap despite having a lower active community count virtually all year and a more challenging selling environment that we had expected. We benefited from a big jump in our ASP, which reflected some strategic changes in our business mix and the stronger home pricing conditions I mentioned a moment ago. We did even better on profitability. Our EBITDA margin for the last 12 months improved 2 points to 8.8%, closing nearly 2/3 of the gap. Combined, the revenue growth and margin expansion allowed us to report an improvement in adjusted EBITDA of more than $42 million or almost 40% of the gap in just the first year of the plan. As you will hear in the balance of this call, we did not achieve every operational metric we hoped to. That's what makes this business pretty humbling. But we accomplished a lot and importantly have positioned ourselves to take another big step in EBITDA in fiscal 2015 despite expectations for only modest improvement in the demand environment. More active communities and higher average sales prices will be the primary drivers this year and should set us up to reach our 2B-10 objectives by the end of 2016. Now I'd like to give you a quick summary of our fiscal 2014 performance before turning the call over to Bob for his more detailed review. For the full year, we reported $35 million in net income from continuing operations or $1.10 per share. We achieved $128 million in adjusted EBITDA, $42 million above last year. Excluding an unexpected warranty charge, our adjusted EBITDA exceeded our guidance even though our home sales fell below our expectations. Orders were down 5.5% and closings were down 2%. But a big increase in ASP and planned land sales allowed us to grow revenue by $176 million or about 14%. EBITDA margins also improved with homebuilding gross margins up 190 basis points and SG&A 20 basis points better. We invested $551 million in land and land development and we ended the year with plenty of liquidity, $324 million in unrestricted cash and an undrawn revolver. So with that summary, let me turn the call over to Bob for a closer look at the results.
Robert L. Salomon: Thanks, Allan. Our fiscal 2014 results were impacted by a lot of unusual items, both positively and negatively. We talked about 3 of them on our last call: a $19.9 million noncash loss in the extinguishment of debt in the third quarter as part of a refinancing transaction; a $28.5 million cash tax benefit resulting from our successful appeal of certain carryback items, which we received in the fourth quarter as expected; and a $6.3 million noncash gain related to the sale of our Pre-Owned Homes business. Since our last call, we had 3 more large and unusual items we recognized in the fourth quarter, including a $13.9 million noncash tax benefit from the release of FIN 48 liabilities; which was mostly offset by a $5.4 million impairment on our only land parcel in Bakersfield, California, where we repriced our loans to mask significant price reductions adopted by our competitors; and a $4.9 million warranty charge related to water intrusion issues in a number of homes in Florida and New Jersey. The homes average more than 7 years old, so we don't think they represent a systemic or recurring issue. Nonetheless, they are included in our homebuilding cost of sales and therefore reduced all measurements of income including gross margin, adjusted EBITDA and net income. Including all of these noisy items, we reported $34.9 million of GAAP net income, excluding these items, we made $16.4 million of net income, which was several million dollars short of what we had guided to. The profit shortfall is a function of lower sales and closings in the quarter, particularly in each segment as well as slightly higher advertising costs. The spec sales we anticipated to close in the quarter fell short of our internal forecast and a handful of additional higher-priced home closings slipped out of the quarter due to mortgage issues and minor construction delays. Together, we missed about 50 closings and about $20 million of revenue. Had things gone exactly as planned, our ASP would have been slightly higher and our SG&A ratio would have been slightly lower. Despite those challenges, we had a strong quarter. We showed year-over-year improvement in many of our key metrics during the fourth quarter and strong performance relative to our peer group and most others. Specifically, we reported $60.3 million of net income and $56.5 million in adjusted EBITDA. The EBITDA was up 36% from last year on 25% total revenue growth. We ended fiscal 2014 with a community count that was 16% higher than a year ago and averaged 10% more communities during the quarter. Orders were down 1.6% due to a slight slowdown in absorptions in the current uneven sales environment. However, home closings were up 2.3%, reflecting a 77% backlog conversion ratio. Our ASP was 12% higher than a year ago and we improved SG&A as a percentage of total revenue by 130 basis points. We reported $546 million in revenue for the fourth quarter, which brought our full year fiscal 2014 total to almost $1.5 billion, up 14% over last year and bringing us $176 million closer to our 2B-10 revenue objective. Sales were uneven during the quarter and, in fact, throughout all of fiscal 2014. While we had hoped to reach 3 sales per community per month for the quarter and for the year, our absorption rate of 2.6 in the fourth quarter resulted in a full year absorption rate of 2.8 sales per community per month, down fractionally from last year. As you can see, that was still a very good number compared to our peer group. From a sales perspective, the quarter was bipolar. We told you last call that July was not stellar. On the other hand, we had an exceptional August with orders up materially over last year. Then in September, even with really strong traffic, sales were soft again. To some extent, we were the victims of our success in opening new communities as we got quite a few active with just their first 2 sales. These communities had to had their official grand opening events, so they weren't yet reflecting their full potential. Our ASPs continued their upward trajectory, increasing 12% to $295,000 for the fourth quarter and 13% to $285,000 for the full year. We saw increases in ASP across all 3 of our operating segments, led by an 18% increase in the Southeast. And our highest ASP segment, the East, grew as a percentage of our total closings while increasing its own ASP. To a greater or lesser degree in each market, these increases reflect improving market conditions or skillful product positioning and land acquisition strategies we adopted several years ago. We have a lot of confidence that our ASP will continue to increase in fiscal 2015. Let's start with the fact that our ASP in backlog at 9/30 was $305,000. Then considering the change in our business mix, which will include a higher mix of Mid-Atlantic and California closings, that leads us to believe that our full year ASP will be up more than 10% this year even if the broad home price indexes don't go up. We ended fiscal 2014 on a high note when it comes to community count. At September 30, we had 155 active communities, up 16% versus last year. This was the first quarter of year-over-year growth in community count since the middle of fiscal 2012. During the fourth quarter, we opened 24 communities and closed out 11 and averaged a total of 149 active communities, up 10% from last year. For the full year, we opened 73 communities and closed out 52. Our average commodity count for the year was 142, down 2% compared with last year. At September 30, we also had 64 communities that were under development, of which close to 40 are expected to open in the next 6 months while another 30 existing communities are expected to close out. We also had 35 land deals that had been approved but not yet closed. Based on what we know today and building in a little extra time for permitting and utility delays, we now believe that our average active community count for fiscal 2015 will be up on a percentage basis in the mid-teens versus last year. Turning now to our EBITDA results. We reported $56.5 million in adjusted EBITDA for the fourth quarter and a $128.3 million for the full year, covering our cash interest expense for the first time since 2006. As you can see in the chart on the right, this represents a $150 million improvement since we introduced the path-to-profitability plan back in 2011, when our EBITDA was negative. Absent the unexpected warranty charge this quarter, our full year adjusted EBITDA would have been $133 million, up $47 million from last year, in line with the guidance we provided on previous calls. Our improvement in gross margin has contributed heavily to our improved adjusted EBITDA. Our full year gross margin of 21.9% was up 190 basis points over last year while our fourth quarter gross margin of 21.3% was 10 basis points below last year. Included in these calculations was a $4.9 million of unexpected warranty charges during the fourth quarter. Excluding these charges, the full year homebuilding gross margin would have been 22.2% and the quarter's would have been 22.3%. The fact is that these margins are better than we expected at the beginning of the year despite our home sales being lower than planned. But we also know that many of our peers have discussed increasing incentives heading into their fiscal year-end. That makes us somewhat cautious when considering further improvements in gross margin for fiscal year 2015. While we will continue to push and pull the levers, trying to eke out every basis point we can find, we will be satisfied if we're able to keep gross margins around 22% for the year. SG&A was 11% of total revenue for the fourth quarter and 13.3% for the full year. That's slightly higher than we expected both because of the revenue shortfall I mentioned and because we stepped up our advertising in the quarter. It's always hard to fully measure the effectiveness of ad spending, but we feel like our targeted messaging to create a sense of urgency among buyers helped a little bit. The biggest portion of our ad spending is online these days, and we can turn it up or down as market conditions dictate. For now, we'll likely stick with the increased ad budget. Looking forward, our G&A dollars for the full year will increase but by a lesser percentage than our revenue. In our first quarter, we expect a bit of a spike in G&A as a percentage of revenue. But by the end of the year, our ratio should improve. We expect our full year SG&A expenses to be around 12.5% of total revenue. Since we have one of the lowest ASPs among our peers, we perform a reality check by also looking at overheads per homes closed. On that basis, we're still one of the best-in-class operators. Moving now to our land investments. We spent $170 million on land and land development during the fourth quarter and just over $550 million for the year. For fiscal 2015, we expect to spend around the same level as we continue to grow inventory and invest for further community count growth in 2016 and behind. On one other land note, we recorded over $50 million in land sales during the year, which netted a 5% gross margin for us, contributed $2.7 million to our pretax income. As I mentioned on prior calls, in some cases, we had found it advantageous to purchase larger land parcels with the intention of selling off a portion to another builder. This activity will be reflected in our results again in 2015, when we anticipate land sales and related margins similar to 2014. With our increased land spending, our inventory levels have continued to rise. At the end of September, we had over 28,000 owned and controlled lots and nearly $1.6 billion of total inventory, up $247 million or 19% from last year. Land held for future development continues to shrink in both dollar and percentage terms. At September 30, we had $301 million of land held for future development, down $40 million from the end of fiscal 2013, as we activated several parcels during the year. Our land held for future development represented 19% of total inventory at September 30, down from 26% last year. As we bring more assets into active status over the next couple of years, the dollars that will return to the business will be a nice addition to our results since further activations are not currently included in our 2B-10 targets. Looking at our capital structure. We ended the fourth quarter with no significant debt maturities until 2016, $324 million in unrestricted cash and an undrawn $150 million revolver. As we said before, we plan to refinance our 2019 9 1/8% senior notes during the coming year if we can save a substantial amount of interest. Despite some volatility in the high-yield market, this seems reasonably likely. In addition, during the summer of fiscal 2015, our TEUs will mandatorily convert to common shares and our 2018 secured notes will be callable. While there is unlikely to be interest savings in refinancing these notes, we do hope to eliminate secured debt from our capital structure when the opportunity arises. Finally, we were pleased to receive more than $40 million in tax benefits this quarter. After adjusting for the impacts of these benefits, we currently estimate that we will be able to use approximately $440 million or nearly $14 per share in deferred tax assets to offset our future tax liabilities. As a result, we should not have to be a federal cash taxpayer for some years to come. As we've discussed in the past, the exact timing for bringing our deferred tax asset back on to our balance sheet is not known. Having said that, we expect to start the process during the second half of fiscal 2015 because we currently anticipate a loss for the first half of the year. Once we're able to bring this asset back on to our balance sheet, our book value and debt-to-equity ratio will be substantially improved. With that, let me turn the call back over to Allan for his conclusion.
Allan P. Merrill: Thanks, Bob. We're in the midst of a housing recovery, but it is doesn't always feel that way. The fact is this recovery hasn't yet created a level of new home activity anyone anticipated and we're prepared for that environment. But I think it would be shortsighted to give up on expectations for greater volumes in the new home market in the coming years. The fundamentals, particularly for first-time homebuyers, are just too strong. First, the long-term demographic trends provide a constructive backdrop, led by the rapid expansion of millennial households into prime home-buying ages. Second, new home affordability remains robust as low interest rates and the reasonable home prices combine to make owning a new home very compelling, especially in light of the sustained growth in rental rates. And finally, improvements in employment bode well for increased first-time home buyer demand. The housing recovery has been held back by both stringent mortgage underwriting and low levels of consumer confidence, though both show signs of improvement as we enter fiscal 2015. As I mentioned at the beginning of the call, we made significant progress toward the achievement of our 2B-10 objectives this year. Operationally, we outperformed our expectations for margin and ASP but underperformed on sales pace and active community counts. These results and current market conditions have led us to modify our targets for the combination of operating metrics that can lead us to our 2B-10 goals in the next 2 years. Here are the new targets we are aiming for now, realizing they continue to be subject to ongoing refinement and they don't reflect reductions in potential performance: 3 sales per community per month, $325,000 in ASP, 170 active communities, a 22% homebuilding gross margin and SG&A no higher than 12% of revenue. This is just one of many paths to 2B-10, and you can rest assure that we'll be pressing for improvement in all of these metrics. Now let me relate that 2B-10 targets to our fiscal 2015 expectations. We ended September with a 10% lower unit backlog, which arose in large part from a lower community count during most of the year. As a result, we expect fewer closings in the quarter than last year's first quarter. But with an expected ASP of $300,000, first quarter revenue should be comparable last year. On the profitability side, homebuilding gross margins should be up a bit from last year's first quarter, but they will be more than offset by higher G&A as we absorb the cost of a larger community count before benefiting from their associated revenue. G&A is likely to be between $32 million and $34 million for the quarter. This means Q1 EBITDA is almost certainly going to be little lower than last year. Given the result -- given the recent unevenness in sales, we're anticipating 2 sales per community per month to trying to match last year's pace. For the full year, our expectations are substantially better as we finally benefit from the larger base of communities. On the revenue side, we expect the year-over-year growth in our average community count to be in the mid-teens for the full year. Chastened by our recent sales experience and in light of having more communities with higher price points, we're forecasting flat absorptions for fiscal 2015. That means order should roughly follow the community count growth and be up somewhere in the mid-teens. For closings, we expect something more modest, like mid-single-digit growth, since we won't have a full year of closings from the larger community count. Revenue growth will be better to closings grow. That's because we expect ASPs to take another big move higher for the year, up more than 10% and likely approaching $320,000. That would still leave us with 1 of the 3 lowest ASPs in the industry. So we aren't abandoning our core buyer profiles, we're just benefiting from a better mix within and between our markets. On the margin side, while we will work to increase gross margins, we are targeting 22% for the full year. The anticipated revenue growth will help us leverage our fixed cost, which should let us reach an SG&A ratio of about 12.5% of total revenue for the year. We also expect to make $2 million to $3 million in gross profit on our planned land sales. Taken together, these results would allow us to increase EBITDA by at least $20 million to approximately $150 million for the year. Our eyes are firmly fixed on achieving 2B-10 in 2016, and we're going to make up another big chunk of the gap this year. Our first year of 2B-10 implementation was a hard-fought success with the company's first annual profit in almost a decade. I'm very pleased with the progress we've made and I'm confident that the focus and intensity that we're putting on our 2B-10 metrics will further improve our growth and profitability in the years ahead. Thank you for joining us. At this point, I'll turn the call over to the operator to lead us into Q&A.
Operator: [Operator Instructions] Our first question comes from Ivy Zelman of Zelman & Associates.
Alan Ratner - Zelman & Associates, LLC: It's actually Alan on for Ivy. Allan, I hoping to dig in a little bit on the gross margin because we've heard from several other builders that have maybe put up a little bit of a red flag on the margin outlook for next year, suggesting there could be some downward pressure. And I think for the most part, you guys are forecasting pretty flat gross margins for the full year. So I was curious if you could maybe just talk a little bit about the levers that go into that. Where do you see incentives playing out through the year? What do you see costs doing on the construction side? And finally, on the land side, what are the land inflation that's going to be flowing through the P&L next year? How does that going to compare to what you faced this year?
Allan P. Merrill: Well, we had one of the longest scripts on record for us. I'm at risk of matching that with my answer to that comprehensive question. So let me try and break it down. First of all, I think you said -- restated it correctly, we are expecting flattish gross margins for the full year. We did say Q1 will be up a little bit over Q1 last year, but I think that kind of 22% range for the full year for us strikes kind of the right balance. I think the second kind of point of context is -- and I'll probably botch the expression, but I think there's a saying, something like the stand you take depends on the seat you had. So the stand we're taking about margins relates to where we are today. I think if we were trying to defend the indefensible, some very high gross margin that wasn't sustainable, we'd be in a different position. So I don't worry too much about what others say because where they are relates to things that they did that we didn't do and positions that they have that we don't have. So I understand the context, but I think it's important to realize that, that relative move between builders really has a lot to do, as I say, on the seat that we each had. Now sort of pulling it further apart into the components as you suggested, we didn't see a real movement through the year in incentives. And in the fourth quarter, they were very, very comparable to where they were in the prior year. So I just don't see a lot of activity there. But I said this on this call before, the thing about measuring incentives that is complicated is that you've got base prices, you've got options and option pricing, you've got lot premiums, you have incentives that can be offered and, of course, closing cost. And so if you mix all of that together, it's very hard to kind of pull it apart and say, "Okay, well, the base price went up by x," because you're always comparing a slightly different mix of units anytime you're doing that comparison. But if we just isolate incentives, price reductions offered to help make sales, there was essentially no change. And I'm not really anticipating that there will be a change in the coming year. I think that we will constantly be shuffling, remixing, repackaging our incentives. We've talked about that maybe more than others. And I think we have to do it if not monthly, or if not weekly then monthly, in every community. And sometimes those cost you a few bucks, sometimes you save a few bucks. But being fresh and being respective or reflecting what market demands are is absolutely crucial. If I think about the cost side, there are some cost pressures. But one of the things that we should all kind of keep in mind is the input costs, I'm going to ignore land for a minute, are theories or hypotheticals that are based on an assumption about what total aggregate demand is going to be and what capacity constraints those relate to. And I think if we think about 2015, a lot of the published estimates for 2015 single-family, in particular, are up 20%, 25%, 30%. I think if that plays out, we would absolutely expect to see $2,000 or $3,000 of additional direct cost per home. But I have to tell you that's not our base case. I just don't think that aggregate demand is going to be that strong. And I'm not sure which I hope for. I think, in general, we'd like to have a lot more demand, so I'd like to be having to contend with those kinds of cost increases. But the fact is in a better but less better demand environment than I think what is baked into a lot of the forecasts that are out there, I don't think that the cost pressures are going to be at that level of, call it, $2,000 to $3,000. And that's in our context against our $300,000 kind of ASP. On the land side, the mix of our lot cost will shift up as our ASP shifts up. But if you think about it in terms of a percentage of revenue, we don't see a particularly or a meaningful change in that percentage. It's sort of tracking up, which is why if you add all of that together, we kind of got comfortable that a forecast for flat margins in our circumstance made some sense.
Alan Ratner - Zelman & Associates, LLC: That's really helpful. If I can squeak a follow-up on there, I know that's a comprehensive answer. But in the past few quarters, you've given some helpful commentary on what you're seeing on the mortgage market. I was curious if you can give an update there and any significant changes you've seen over the last few months and also commenting on the proposed changes at FHFA.
Allan P. Merrill: So for those who aren't as familiar with our mortgage choice program, we have the benefit of having a lot of different lenders competing to earn our customers' business. And that gives us a chance to hear and see what different people are doing. A couple of just interesting tidbits, our full year FHA and VA business was only 1/3 of our total. Given that we're prominently a first-time homebuyer builder, that's a surprising outcome. And what it reflects, I think, is you are seeing a lot of lenders, particularly smaller- and medium-sized lenders, getting a bit more aggressive in underwriting in the conventional product category. It's also, and this is important, it's also a function of a reduction in FHA loan limits that have totally hammered some important markets. It had a huge effect in Vegas, a huge effect in Phoenix, a big effect in California in certain submarkets. So I think that's also part of the reason that FHA number is down a little bit. But what I sort of read through there, Alan, is that we are definitely seeing a call to the animal spirits. We definitely see a little bit more intention on the part of the lenders to write primary purchase money mortgage financing, which is good. Now I think it's incremental. I think it's modest. Every little bit helps. And because of what I'm about to say, we're assuming that just only incrementally gets better. Now there are 2 big things that have happened in the last, call it, 60 days. Clearly, FHFA and the administration have said some things that would be very favorable as it relates to down payments and potentially loan limits to open the credit box. And absolutely, I'm in favor. I think that should happen. I think, in fact, the arbitrary setting of price caps essentially with the FHA loan limit has been particularly disadvantageous to first-time buyers. I think it's done exactly the opposite of what both the administration and the regulatory authorities really should have been doing. But the flip side, the second thing that happened, is we had a regime change in the Senate. And as a result of that, I am less optimistic about legislative changes that are going to do things that open the credit box. There's a great struggle right now between this idea the private market will fill in the gaps. But what happens in the meantime? And I expect that there will be a struggle between different camps there. And I think stalemate is the best bet. And as a result, notwithstanding the positive soundbites or potentially some of the more challenging soundbites coming out of the some of the newly elected members of Congress, I think that the stalemate and not better, not worse is an appropriate operating assumption. And that's kind of where we are.
Operator: The next question comes from Mr. Michael Rehaut from JPMC.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: First question I had was on just the ASP. I wanted to understand that in terms of the full year expectations. You said nearing $320,000 and you put out a roughly $300,000 for the first quarter. Does that nearing $320,000 mean what you expect to get to by 4Q? Because otherwise, I think an average for the full year, it would seem a little aggressive at least relative to what you have in backlog right now.
Allan P. Merrill: Yes. So the new communities are exhibiting and will exhibit a pretty strong influence in 2015 on our ASPs. So nearing $320,000, I intend to be kind of where the full year is going to get to. Now it may not get all the way to $320,000, but I'm not talking about the high-water mark at the end of the fourth quarter being $320,000 and drawing a line between $300,000 and $320,000 and kind of taking the average. I'm talking about a movement in ASPs that allows us to get the full year average pushing pretty close to $320,000.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: Okay, that's helpful. And I guess, maybe bouncing off -- moving from that question to the next about adjusted EBITDA growth, I guess, with around $320,000 ASP, that's about a 12% increase year-over-year, mid-single digits, you're saying, on the closings and margins a bit better, at least from the SG&A standpoint. So that would positively impact your EBIT margin as well as expect interest amortization. That at least $20 million higher of adjusted EBITDA growth does look slightly conservative. I mean, I would think the numbers would come closer to like a $25 million, $30 million number. Does that makes sense? Is my math right there? And what could drive that higher or lower?
Allan P. Merrill: So last year, we gave an estimate for what we thought we could increase EBITDA at November. And we raised it a couple of times during the year. The market allowed us to do that. And I have no my idea whether the market will allow us to do that again this year. If you string together, and I promise I've done the math not once but about 10 times, and take quite literally what we've said in terms of expectations, it comfortably supports at least $20 million. And I don't really want to -- I mean, you can twist dials on any one of those metrics, Michael, and make it a little more or a little less. And that's, I think at this point, the safest thing for us to forecast. We obviously don't have huge visibility into Q3 and Q4 right now, and those are the moneymakers for us. So I think I'm maybe turning over a new leaf and being more conservative, we'll see. I hope that proves to be the case. But I think if you just follow the math on what we've said, it will get you to at least $20 million. How you interpret that obviously is why you get the big bucks.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: Well, hopefully, we'll see at year-end. But one last question if I could. The absorption pace talk, similar to '14, does that -- I understand that might more of just the market assumption perhaps that you don't want to necessarily bet on the industry backdrop being materially better. And I think you referred to that already. But from a community mix standpoint -- as you just alluded to some better, higher ASPs driving that guidance there. But from a community mix standpoint in terms of positioning, locations, et cetera, would that in and of itself affect the absorption pace? In other words, some builders, as they open up new ones, better location, they expect a little bit better absorption. Or are you just being conservative there?
Allan P. Merrill: Well, I think there are a few things going on. You're right about the fact that I have kind of moderate view of what the macro environment is going to be. I don't see it being dramatically better. I hope I'm wrong. But I think the other thing, and I think this was maybe in Bob's comments, we definitely are mindful of the fact that with a lot of the new communities having higher price points, we have planned for, as a part of an underwriting of those deals and kind of the normal competitive dynamics, those higher price points tend to have slightly lower paces. And that's okay. You want to create value at $325,000 or $350,000 in a community. And in some of our markets, we will have new communities that are above $500,000. Those are clearly going to have paces that are different from a lot of the things that we were selling last year, when we had an ASP in the 250s. So we're seeing a shift in the business a little bit. And as that happens and the ASP moves up, I think it's fair to say that, that puts just a little bit of stickiness in upward movement in the sales pace. So again I hope I'm being conservative. I'm trying to tell you what we are expecting. And I think it's reasonable in light of the mix to say that flat is not overly conservative.
Operator: The next question comes from Mr. David Goldberg of UBS.
David Goldberg - UBS Investment Bank, Research Division: My first question, Allan, was on your comment on increasing, or maybe it was Bob's comment on increasing marketing spend in the quarter to help drive some urgency for your buyers. And that's not something we're hearing from a lot of builders, kind of proactive steps to drive some urgency in. Is there a way you can kind of give us some ideas of what kind of things you do without kind of, I guess, revealing the secret sauce to your competitors? It's just interesting you're taking a little bit of a different tactic, it feels like, in a somewhat stagnant market.
Allan P. Merrill: Yes. Look, I have a little bit of a background, and that makes me armed and dangerous with online marketing. Some of our vendors and partners that we do business with hate the fact that I think I know something about this because they're pretty capable of proving that I don't know very much. But I personally spend a fair bit of time on it. And as a company, we spend a fair bit of time on it. And I think one of the big things, and just setting homebuilding aside, no one could reasonably disagree with the fact that mobile has become a very big factor as we think about online experiences, consuming content and being exposed to advertising. And there's certain things you can do in mobile platforms that you can't do in desktop platforms. So some of the initiatives that we're taking to do better targeting, which was one of the keywords Bob used, and also to create a sense of urgency relates to mobile platforms.
David Goldberg - UBS Investment Bank, Research Division: That's helpful. I guess, my follow-up question is on the land sales this quarter. And I'm wondering, I mean, I completely understand the concept of buying some parcels you're very interested in and signing off some of the pieces. The margins on the land sales were -- obviously, the gross margins were pretty low on the land sales. Can you talk a little bit about the timing? Did you sell these pieces right after acquisition, so you sold them as raw? Maybe I don't know if they were entitled pieces or whatever, and if we should continue to expect the margins on land sales to remain depressed on a go-forward basis. Or does it make more sense to hold the land a little bit further, get it closer to a finished lot and sell it when you've increased some value on the land from a cash flow perspective?
Allan P. Merrill: All right. Well, all the accountants listening closely will be super excited to hear this answer. Because there's a little complexity to it, and it's not as -- it's not quite, I think, how you're thinking about it. There really are broadly 2 scenarios that we ought to talk about to kind of create context. One scenario is when we buy a large parcel. And at the time we buy it, we have identified a portion of it that is going to be sold. And that really reflects mostly what happened for us this year and will happen again, by the way, in 2015. Well, we have to allocate our purchase price across the part we're going to keep and the part we're going to sell. And if we know that we are selling it, and in particular, if we have a contracted seller at that time we're buying it, we tend to write that portion of the basis right to where we're going to sell it because it's like property held-for-sale. When you carry something, that property held-for-sale, the accounting convention is you carry in it what you expect your net realizable value is going to be. So we've got a contract I know where to market. So there shouldn't be a big profit there. Now if we held something for a long period of time and we decide, "You know what, we'll sell the 60-foot lots, we've got another deal elsewhere and we had it for a period of time," those could definitely have very different margin characteristics. And you're right, if you take things through either a final entitlement or you do land development, you're darn right, we want to get paid full developer profit, that risk premium that we would be entitled to. But mostly, what you're saying for us is not that we're in the land development business and trying to arbitrage raw versus finished prices, but the very best parcels were a little chunkier than we wanted to do. And so we found someone to whom to sell typically at a higher price, by the way, than our price a section. But from an accounting standpoint, the way the basis gets allocated, that doesn't necessarily show up in current results as a big margin bump.
David Goldberg - UBS Investment Bank, Research Division: Oh, understood. Like purchase accounting essentially?
Allan P. Merrill: You got it.
David Goldberg - UBS Investment Bank, Research Division: Yes. So just to make sure, the resulting margin on the leftover pieces, whatever the remainder is for you, theoretically should be higher because you've underwritten it into a flat margin and some of it is going to get less and some of it is going to get more?
Allan P. Merrill: That is definitely our -- I mean, in that scenario, that's what should happen.
Operator: The next question comes from Mr. Adam Rudiger from Wells Fargo Securities.
Adam Rudiger - Wells Fargo Securities, LLC, Research Division: I wanted to readdress one of the previous questions about the absorption pace. I recognized on Slide 11, where you guys are, over more on the right side of the slide. But if you look at the decline this quarter year-over-year, that was more significant than peers. And your first quarter guidance or expectation seems to imply a decline as well. And you talked about community mix and stuff like that. But could you talk about how much of that might be mix-related? You talked about this quarter, in your prepared remarks, maybe little bit of an impact from communities that just opened. And so that was a little bit maybe miss...
Allan P. Merrill: Yes. I think it weighted on it a little bit. So look, I think the fact is, Bob said this: July, kind of so-so; August, awesome; September, not so good. So trying to figure out, okay, what should we expect over the next 3 months, what are we seeing? Traffic levels are up year-over-year. The enthusiasm with buyer seems pretty good. But that conversion is so difficult. And there's no question that, that has been on our minds as we think a little bit about Q1. And I think I kind of walked into a trap that I set for myself last quarter because I told you all, I said, "Gosh, I really want to do 3 in the fourth quarter." And I got a bunch of looks and phone calls and emails, "What the heck are you thinking, the market's not there?" Well, we were trying to get to 3, and we didn't. So I think I tried to moderate just a little bit and say I have very high expectations for our business. And I communicate those consistently internally. I think externally, sometimes I haven't done a very good job of differentiating those 2 things. So part of what you're hearing is I think it's reasonable to assume if we have the continued unevenness that we've had the last 3 months or 4 months, 2 would be a pretty good number in the first quarter. I want to point out one other thing about Slide 11, and it's a little bit defensive sounding, but I would -- it is not irrelevant. The 2 builders that had absorption rates that were over 3, their period ends at August. Ours would have been a lot higher if we had looked at 3 months ending August instead of 3 months ending September. There was a significant difference in the environment between August and September. So I understand that we aren't the furthest to the right, and that's okay. This isn't about winning sales derbies. But the context for that comparison, I think it's fair to point out, was a slightly different time period.
Adam Rudiger - Wells Fargo Securities, LLC, Research Division: All right, that's helpful. And then one other question on your mix, you talked about the higher ASPs before. How much of that is a function of regional geographic differences versus within a market location difference versus targeting different buyers that move up or luxury buyers more than entry level?
Allan P. Merrill: Yes. It's very little of the third point, targeting different buyers. It is substantially the larger portion is the geography mix between the Mid-Atlantic and California weighing more heavily in our overall results in 2015. And then within our markets, as I've said before, replacing product in the $220,000, $230,000, $240,000 range is very, very difficult without making significant compromises either to location or included features. And our positioning with a first-time buyer is we want to be awesome in value, not necessarily the lowest sticker price. And so you've got to be in a little better location and you have to have some stuff in the house. And as we have identified the preferences, particularly of these coming wave of millennial buyers, location is going to be at a huge premium and the feature set has got to be dialed in right. Is it a round toilet or not? A round toilet. Is it a round sink or a square sink? You've got to get that stuff right. So from my perspective, the mix within markets is not a deviation from who we're trying to serve, but it's about serving them where they want to be served. So those are kind of: one, geography between markets; and two, geography within markets or communities within markets. And almost only an accidental shift that we might have a slight increase in buyer profiles at higher price points in a couple of markets, that's not a big part of our corporate strategy.
Operator: The next question comes from Mr. Will Randow from Citigroup.
William Randow - Citigroup Inc, Research Division: In terms of just circling back on the absorption pace, when you're looking at your competitors in your markets in terms of increasing community count, how do you think they're increasing relative to you? And what are the opportunities and challenges related to if you have store growth or community count growth in excess of demand?
Allan P. Merrill: Yes, that's a great question. And look, we all have seen that play down in Phoenix just as one example. I mean, we saw a 25% increase in community count the last 1.5 years and all of us have suffered on absorption rate. So it's totally a fair question. I think that the one thing within that though -- and that's a great fact and we're conscious of it. But let's just pick again on Phoenix for a minute, there are other companies that are even more expert in it than we are. But if you look at the growth of 100 communities in Phoenix, it would be interesting to note that over 80% of them were in a very, very, very small number of primarily East and Northeastern-biased geographic markets. So for our guys out on the Southwest side or on the Northwest side, where the community count growth in those submarkets was much more modest, it's not much of an excuse to me to say, "Gee, there's a lot more community count growth at Phoenix." Well, that's true but not pure yet, right? We are not in good year. So it is at the market level, but it's more importantly at the submarket level that you've got to analyze that. I know you know that well, but I want to point that out that communities are not all synonymous or capable of one being replaced or competed with another. Obviously, the location aspects matter a lot. So as we've looked at our land position over the last couple of years and where we want it to be, we pride not to put ourselves in the middle of the killing fields, where the proliferation of community counts is going to really take away either price or margin or in a worst-case scenario, both. I'm sure we didn't get it exactly right, but that is a very big part of the land acquisition strategy is not who's selling today, but what's every piece of land and its entitlement status around something that we want to buy so that we can start to anticipate what the competitive dynamics are going to be in 2 years, when we're in the meat of that. And like I said, I know we didn't get it exactly right, but I feel like we have been intentional on trying to be a bit defensive and not get completely exposed to the growth in community counts. I know that's not -- it's not a perfect answer, but it is clearly the case that you're pointing out something that we're very aware of. And our best antidote to that is to get the feature level right, and that's what we're doing.
William Randow - Citigroup Inc, Research Division: And if I could just slip one follow-up, in terms of the current order pace of the most recent trends, could you talk about where the overall company is tracking in the different places throughout the country for you?
Allan P. Merrill: Well, we don't typically give paces by division. I think I would tell you that there were some places that were softer than they were last year but were still really good for us. There's been a lot talked about Vegas. Our Vegas pace fell by an order of magnitude. I think it had been over 5 and it ended up at 3. Well, it was down a lot, but boy, 3 is not a bad pace in Vegas right now. So that's for us a bit better news maybe than the headline. I talked about Phoenix. I think our pace in Phoenix fell from 3 last year to 2 in the fourth quarter. We clearly saw a reduction in pace there. What I would tell you overall though, Will, is that -- and Bob and Carey are about to give me the look, I can just tell you. The volatility or the standard deviation of paces between our markets is dramatically reduced this year versus last year. Last year, there was some really high, highs, and then some low, lows. There's been a compression amongst our divisions this year. They're not -- the highest aren't as high as they used to be, the lowest aren't as low as they used to be. And I don't know, I think that's a good sign, that's a healthy sign because we're not trying to then play off of some hot and potentially unsustainable levels in certain markets.
Operator: The next question comes from Mr. Eli Hackel from Goldman Sachs.
Eli Hackel - Goldman Sachs Group Inc., Research Division: I just wanted to focus on the balance sheet for a second and maybe return -- I still want to know where in the cycle we are. I think we're probably not in the first inning or whatever the right order of inning is. How are you thinking about cash flow generation and your balance sheet and maybe tie it with land investment, where we are on the cycle right now, Allan?
Allan P. Merrill: I would have told you that 2 years ago, risk on was what we talked about with our board. It was time to heavy up. We had put the balance sheet in a better place with the equity offering that we did and we were prepared to invest pretty aggressively. And that's what we've been doing. I would tell you that my euphemism for 2015 is focused growth. It's not a kind of all systems go in every market. But risk on, it's pick spots, it's fill in areas where we've got gaps and have capabilities in there as market demand. I'd say the light is still green, but it's definitely more selective. There are certain markets where I feel like we've gotten our total capital employed to a very comfortable, sustainable level, where we can generate a terrific return. And in those markets, we said, "Look, if we want to grow the scope of the business, don't really want to change the risk profile, so those better be places where we're seeing option opportunities as opposed to bulk purchase opportunities." We do expect to spend, I think Bob said, about the same amount on land and land development. It will be mixed differently this year. I think last year, we spent 60% on land and 40% on development. And this year, it's much likelier to be 50-50 as we emphasize investing in the things that we purchased. And we may see a few markets where there are opportunities. Phoenix is interesting. We bought a deal recently in Phoenix that was well below where it had been offered to us 2 years ago. I was excited about that because we had sat out 2 years of the land market in Phoenix. We just couldn't make stuff work. It turns out that was probably the right thing to have missed. And there aren't many markets that may have this characteristic so that's why I say, on balance, I think the dollar amount that we're spending this year, if we spend exactly what we spent last year, is obviously a lot smaller portion of the total than it was last year. So that's sort of shows the diminution in the level of incremental investment, which I think speaks to -- I don't know if we're in the third inning or whatever, but we're not in the first inning. But I don't think it's time to call the closer yet.
Eli Hackel - Goldman Sachs Group Inc., Research Division: Great. And then just one quick one, could you just -- and maybe I just missed it. But the write-down, I think you said it was in Bakersfield. Can you repeat what you said there?
Robert L. Salomon: Yes. Eli, the asset was in Bakersfield, California. It's the only really asset we have in Bakersfield. And it was in response to some competitive dynamics.
Operator: The next question comes from Mr. Alex Barrón's line from Housing Research Center.
Alex Barrón - Housing Research Center, LLC: I was wondering if, I guess, in terms of capital allocation, I guess, a number of builders have talked of different strategies. You guys, I guess, are still working on getting back to profitability. And it seems to me that the debt, I guess, is still part of the problem. Have you guys considered maybe doing an equity raise to pay down some of that debt?
Allan P. Merrill: Not right now, no. I think we said pretty consistently, we've got good opportunities to deploy the capital at very good returns. And given the low trajectory of the recovery, I think the good news is it's likely extended the duration. And I've got to tell you, I have no enthusiasm or interest -- and I'm sure our shareholders would share the sentiment that raising equity to pay off 7% debt would be a pretty lousy ROI. So you shouldn't look for that.
Alex Barrón - Housing Research Center, LLC: Got it. In terms of your comment about August and September being significantly different, what do you guys think changed? Have you been able to pinpoint what changed, I guess, between those 2 months?
Allan P. Merrill: No, because it reverses the pattern that we normally see, where people go away in August, and then September, there's a little enthusiasm. And I would tell you up through and including today, I don't really know. It wasn't a traffic issue, it was sales issue. And I don't see that there were any big winners in September. And if we look pretty closely at all of our competitors at each location, and it's not like we looked at it at the end of the month, and we got left behind in September and everybody else knocked the cover off the ball. So I don't know exactly what happened. I mean, we could talk about macro stuff or stuff in Europe or stuff in Asia, I have no idea. It just it was different.
Alex Barrón - Housing Research Center, LLC: Do you have any comment on October?
Allan P. Merrill: Yes, I would say that October has not been a blowout. It hasn't been tragic. It's been okay. And that's -- we kind of were on plan for the month. It wasn't a hugely ambitious plan for the month, but we were on plan. But I'm not sort of leaning into it, telling you how enthused I am, but I'm not crying the blues either.
Operator: Our last question comes from Mr. Michael Rehaut's line from JPMC.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: Kind of a more of a technical question perhaps for Bob, the interest amortization expense for fiscal '14 improved as a percent of revenue by about 50 bps, kind of moderated in the last -- in this most recent quarter with more of only a 30 bp year-over-year improvement as a percent of revenue. Can you give any thoughts towards 2015 and if the improvement should continue but be a little bit more moderate like that? Or could we see some type of an equal amount of more like a 50 bp, another 50 bp improvement?
Robert L. Salomon: Quickly, our cash interest expense will be a little bit lower in '15 than it was in '14 due to refinancings we had. So I think we'll save about $5 million in incurred next year. And as we've -- if you noticed also the direct expense was down to about a $9-or-so million run rate. So I think you will definitely see some reduction in direct interest expense in 2015 versus '14. And certainly, as we continue to grow the balance sheet, that will play out. As it relates to the cost of sales, I think overall, we're going to close more units in '15, so we're going to run more dollars through cost of sales as it relates to interest. And I think as a dollar -- certainly in the total dollars on a per unit terms, you'll see likely higher numbers in cost of sales than we had in '14.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: All right. Well, I guess -- and let me just clarify on that. So a higher dollar amount could still mean some leverage from a revenue perspective. Is that possible? And I guess, on the direct interest -- direct expense, that $9 million that you referred to this quarter, with the refinancing or the actions there, can that continue to trend down? Or should we model that $9 million as a run rate for the -- on a quarterly basis, annualize that from the year?
Robert L. Salomon: Yes. I think we'll certainly see some leverage in interest expense in '15 with the increased revenue. I think if you think somewhere in the $35 million range for direct interest expense for the year, that probably gets you into a reasonable range.
Allan P. Merrill: All right. Well, thank you for participating in our call. We look forward to talking to you at the end of our first quarter in February. Thanks very much.